Operator: Greetings, and welcome to the Ingevity First Quarter 2021 Earnings Webcast and Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Bill Hamilton, Treasurer and Head of Investor Relations. Thank you, sir. You may begin.
Bill Hamilton: Thank you, Jesse. Good morning, everyone. Welcome to Ingevity's First Quarter 2021 Earnings Conference Call. Earlier this morning, we posted a presentation onto the Investors section of our website. If you haven't already done so, I encourage you to download this file so you can follow along during the call. You can find it by visiting ir.ingevity.com under Events and Presentations. For participants who are logged into our webcast, the slides should be visible in the online viewing pane and also available to download. On Slide 2 of that deck, you'll see our disclaimer that today's earnings call may contain forward-looking statements. Relevant factors that could cause actual results to differ materially from these forward-looking statements are contained in our earnings release and in our SEC filings, including our Form 10-K and our most recent Form 10-Q, which we expect to file later today. Ingevity undertakes no obligation to publicly release any revision to the projections and forward-looking statements made during this call or to update them to reflect events or circumstances occurring after the date of this call. Throughout this call, we may refer to non-GAAP financial measures, which are intended to supplement, not substitute for, comparable GAAP measures. Definitions of these non-GAAP financial measures and reconciliations to comparable GAAP financial measures are included in our earnings release and can be found on the Investor Relations section of our website. Our agenda is on Slide 3. With me today are John Fortson, President and CEO; our new CFO, Mary Hall; Mike Smith, President of Performance Chemicals; Ed Woodcock, President of Performance Materials; and Erik Ripple, Chief Growth and Innovation Officer. First, John will comment on the highlights of the quarter. Mike and Ed will review the performance of our 2 segments. Erik will discuss details of our recently announced strategic partnership with GreenGasUSA Holdings, LLC. Then Mary will comment on our current financial status. And lastly, John will discuss our revised guidance for the year. With that, I'll turn the call over to our CEO, John Fortson.
John Fortson: Thanks, Bill, and good morning, everyone. Thank you for joining us, and we appreciate your continued interest in Ingevity. Before we go any further, I'd like to take a moment to welcome two of our teammates to the call. First, I'd like to formally welcome Mary to the Ingevity team. Many of you know Mary from her former position at Quaker, we are thrilled that a professional of her caliber has joined Ingevity, and we know that she will be a value member of our team in this critical role. Welcome, Mary. You may also have noticed that Bill Hamilton led the introduction of this call. Bill is taking over IR duties from Jack Maurer, who has made the decision to retire. We wish Jack the best, and we know Bill will do a great job in his new role as Treasurer and Head of IR. Bill led our FP&A efforts for the last 4 years and has spoken on some of the most recent earning calls. He knows this company inside and out, and I know you will enjoy working with him. With that, if you turn to Slide 4, you'll note some highlights for the quarter. We had a strong first quarter. Demand improved across the board in all of our businesses. Revenues in the first quarter were $320 million, up 11% compared to the previous year's first quarter. Our results were driven by both volume and price increases in certain key businesses. Automotive-based activated carbon sales were up sharply given last year's Q1 shutdowns in China. Engineered Polymers delivered and experienced strong growth across many of its end-use applications. Our Industrial Specialties business, which now includes oilfield applications, was up slightly, and we're off to a good start to the paving season. With respect to earnings, adjusted EBITDA was $105 million, up 14% from the same period last year, representing strong drop through. Our margins continue to hold up well across the board. And as a result, our adjusted EBITDA margin for the first quarter rose to 32.9%, up 90 basis points. We generated free cash flow of $34 million. And as a result, we're able to both reduce debt and repurchase shares in the quarter. Our leverage remains within our targeted 2 to 2.5x range, at 2.39x. I want to thank everyone on the Ingevity team for their continued work. I am so proud of them, especially our manufacturing and supply chain employees. They remain committed to working productively amidst the constraints of operating in a COVID safe environment. Our performance this quarter is, again, a testament to the efforts of these employees across the company. Finally, earlier this week, we announced an investment in GreenGas Holdings. We are really excited about this opportunity. Through our work on our absorbed natural gas technology, we have learned a lot about how our technology and expertise can add value to the methane renewable natural gas value chain, and we are fortunate to have identified a partner in our region in GreenGas. We expect to be a significant market participant as we scale our investments and realize the value Ingevity provides. You will hear more from Erik Ripple in a few minutes. If you turn to Slide 5, you'll see the first quarter results for Performance Chemicals. And at this point, I'll turn the call over to Mike Smith. Mike?
Mike Smith: Thanks, John. On Slide 5, you'll see our Performance Chemicals segment sales in the first quarter were $180 million, up almost 8% versus prior year period. Sales to pavement technology applications were slightly higher than prior year and reached a first quarter record, driven by growth in our Evotherm warm-mix asphalt product sales. Increased sales in North America were partially offset by other regions. Sales in Industrial Specialties applications, as John mentioned, now includes sales in Oilfield Technologies, reflecting the reduced size of that business in our view that the category of products is another end use for tall oil fatty acid or TOFA and its derivatives. Industrial Specialty sales were up slightly due to increases above 10% to lubricants, adhesives and dispersants customers. These increases were partially offset by decreases in sales to oilfield applications due to a lower year-over-year North American rig count and drilling activity. In addition, the business implemented price increases for rosin and TOFA products. We are encouraged the Chinese gum rosin export price increased an additional 10% during the first quarter, which is a continued positive signal of improving supply-demand dynamics. Alternative vegetable and tall oil based fatty acids have also increased in price during the first quarter and should support further improvement in TOFA prices. We are also very encouraged by our first commercial production of soy-based fatty acid and derivatives during the first quarter. This is an exciting and important step in expanding our market focus and product portfolio into products and applications, we already have strong capabilities by broadening our raw material feedstocks beyond legacy crude tall oil. We made our first commercial sales of soy-based fatty acid derivatives during the first half of April. Quarterly sales of Engineered Polymer products were up a sharp 27% due to improved polyurethane demand in industrial equipment, automotive applications, electronic devices, medical equipment and footwear. Sales grew in all geographic regions, but were particularly strong in Asia. We realized strong technology adoption and sales growth in microcellular polyurethane applications for battery pads in electric vehicles and in electronic devices. The Engineered Polymers sales increases were largely due to volume improvement was also supported by price improvement. Performance Chemicals segment EBITDA for the first quarter was $32 million, up 2% versus the prior year quarter due to higher volumes and price/mix, partially offset by slightly higher freight and raw material pricing. I will note that absent the effect of foreign currency exchange, our segment EBITDA growth would have been more close to reflected sales growth. We continue to control costs and generate a good mix of our higher profitability of products, which resulted in adjusted EBITDA margin holding respectively at almost 18% in the first quarter. With that, I'll turn the call over to Ed Woodcock to review the results of Performance Materials.
Ed Woodcock: Thanks, Mike. As you can see on Slide 6, revenues for the segment were up 16% at $141 million. Strong automotive production and sales in China, supported by increased demand in South Korea and Europe drove growth for our activated carbon products used in gasoline vapor emission control systems. Sales in China nearly doubled versus the prior year period, given the dramatic decrease in automotive production that occurred during February and March of 2020 due to COVID-19. In the January and February period for which data is currently available, China vehicle production and sales were both up substantially at 87% and 75%, respectively. In the first quarter, North American vehicle production was down 5% and was outpaced by sales in the U.S. and Canada, which rose 12%. The U.S. and Canada vehicle sales mix of light-duty trucks and SUVs versus sedans continues to maintain record levels, hitting over 78% during the quarter. This truck and SUV mix has trended high since April of 2020 and is favorable as these vehicles typically have larger canisters and multiple honeycombs as part of their evaporative emissions control systems. Additionally, U.S. and Canada Tier 3 implementation is ongoing as some model year 2022 platforms were delayed due to COVID-19 impact. The remaining Tier 3 implementations should be complete by the end of this year or by early 2022. OEMs continue to face production issues, primarily associated with the global semiconductor chip shortage and, to a lesser extent, the ongoing global supply chain challenges. Based on IHS data, we estimate the Q1 impact to Ingevity of chip-related production losses to be about $10 million in revenue. We expect the chip supply issue to continue throughout 2021, with the most significant impact in Q2. The followed by gradual recovery in the second half of the year. That being said, the strong U.S. and Canada vehicle sales and production mix of trucks and SUVs and ongoing implementation of U.S. Tier 3 will continue to drive a favorable sales mix for us. Additionally, our process purification business, including sales into air filtration devices that combat the spread of COVID-19, continue to be a reliable and profitable revenue source for us outside of the automotive gasoline vapor emission control. Segment EBITDA was $74 million, up almost 20% versus the prior year period. Segment EBITDA margin increased 190 basis points to 52%, reflecting our facilities across the globe, operating at full utilization. I'll now turn the call over to Erik Ripple.
Erik Ripple: Thanks, Ed, and good morning, everyone. On Slide 7, I'd like to provide more information about the strategic partnership with GreenGasUSA Holdings, LLC, that we announced earlier this week. As part of Ingevity 2.0, we stated our commitment to explore value-added applications for activated carbon beyond vehicle gasoline vapor emission control and to growing markets such as renewable natural gas or RNG and human health. An example of these expansion efforts is our absorbed natural gas or ANG technology for light-duty vehicles that we've spoken about previously and that we continue to advance with commercial and gas utility fleets across the U.S. in the course of our business development efforts with potential ANG fleet partners, we were introduced to GreenGas. As we learn more about the GreenGas business model and the company's role in the larger RNG value chain, we recognized an opportunity to apply our activated carbon expertise to the purification, transport and bulk storage of natural gas. GreenGas is an integrated RNG solutions provider. Today, the company contracts with agricultural farms, landfills and industrial and municipal wastewater treatment facilities to collect and treat biogas from the organic waste of their operations. GreenGas then sells the treated biogas as pipeline quality, low-carbon RNG. The company also provides compression, transportation and delivery of natural gas directly to customers through its wholly owned pipeline injection point or as part of its virtual pipeline fleet services. Our partnership with GreenGas is a significant step in advancing Ingevity 2.0 as we work together with GreenGas to broaden the reach of RNG as a cleaner alternative energy and fuel solution. Our investment will enable GreenGas to further develop biogas capture and cleanup systems that currently contracted and future RNG supply partners and help GreenGas fund incremental transportation capabilities as the business continues to grow. Our partnership is focused on 2 near-term opportunities. First, we will accelerate the application of our ANG technology for the storage and transport of natural gas. We are currently engaged with GreenGas to launch a pilot program to deploy the first use of an activated carbon bulk storage tank to demonstrate the system's efficacy. Second, our collaboration will facilitate the use of RNG as part of our ANG vehicle platform by offering our fleet customers broader access to the greenhouse gas reduction benefits of RNG when used as a transportation fuel. We are uniquely positioned to leverage our expertise as an operating and technology partner for GreenGas. Our investment gives us a foothold in a rapidly expanding RNG industry, an industry in which we see tremendous overlap with Ingevity's purpose to protect, purify, protect and enhance the world. As we continue to pursue strategic partnerships and investments across the RNG value chain, we believe GreenGas has a substantial runway ahead of them, and we are excited to work with their outstanding management team to further grow this business. At this point, I'll turn the call over to Mary.
Mary Hall: Thanks, Erik, and good morning. It's great to speak to you all today as part of the Ingevity team. I'll now briefly review our financial summary, which you'll find on Slide 8. Overall, this slide highlights our continued strong financial position, which reflects our solid business performance, combined with our discipline in managing costs and leverage. The stronger sales performance in the quarter led to its sequential and year-over-year increase in trade working capital, driven primarily by the increase in accounts receivable. This is the primary reason why our operating cash flow and free cash flow were down versus last year. Also, as you know, our working capital generally increases in the first half of the year as we prepare for paving season. We remain focused on careful management of working capital to optimize operating cash flow. Our leverage continued to improve, with a net debt to adjusted EBITDA ratio of 2.39x at the end of Q1, down from 2.45x at year-end. Our weighted average cost of debt was approximately 3.7%, and we have no meaningful debt maturities until 2023. We will continue to be opportunistic with share repurchases in 2021 as we were in 2020. In Q1, we repurchased $39 million of shares, bringing our total repurchases under our share repurchase authorization to $127.4 million, leaving approximately $373 million available. In summary, our balance sheet is strong, and we have ample liquidity to support our organic and inorganic growth initiatives. And now back over to you, John.
John Fortson: Thank you, Mary. On Slide 9, I'd like to review our revised guidance for 2021. Based on our strong first quarter and continued optimism, we are increasing our fiscal year 2021 guidance for sales to be between $1.275 billion and $1.325 billion and adjusted EBITDA to between $410 million and $430 million. As our performance continues to improve, we are watching issues related to transportation and logistics, raw material inflation and automotive material disruptions that could become stronger headwinds throughout the rest of the year. Our intention is to address these issues as we always do, head on through strong execution. We will play close attention to supply and demand in the market and both pass-through costs and price our products appropriately to ensure we get the value we deserve. We believe deeply in the strength of our reenergized Ingevity 2.0 strategy and our team's ability to execute on the opportunities ahead. Our production of soy-based products, the sale of honeycombs into health and safety applications and our investment in GreenGas are all examples of how we are positioning Ingevity for the future by entering adjacent growth markets where our assets and technologies provide us a competitive advantage. We intend to remain a best-in-class company as measured by growth, profitability and return on investment. Before we end the call, I'd like to encourage you all to attend the second webinar in our series for investors and analysts this year, which occurs on May 26. We will focus on the end users, growth opportunities and strategy for our Engineered Polymers business. In closing, I appreciate the work and efforts of our 1,750 employees worldwide. They are a distinct competitive advantage for us. We continue to believe very strongly in the long-term potential of our company. We hope you share our enthusiasm for Ingevity. At this point, operator, we'll open the call up to questions.
Operator: [Operator Instructions] Our first question comes from John McNulty with BMO Capital Markets.
John McNulty: I guess a question just regarding the overall seasonality of the business. I mean, normally, when we look at your core platform, typically, first quarter is about 20% or so of EBITDA. Is there anything that would, given all kind of the wonky moves that we're seeing in terms of like shipping channels and supply chain issues and what have you? Is there anything that dramatically shifts that? Or should we expect the usual seasonality with the help of paving coming in, in 2Q and 3Q, et cetera, et cetera? How should we be thinking about that?
John Fortson: Yes. Look, it's a good question, John. I mean, look, there are a lot of wonky movements going on to be blunt as we kind of move through this stuff. That seasonality will remain, right? I mean we are ramping up. We're -- as I mentioned in the commentary, we're off to a decent start. We're optimistic about the paving season. It looks pretty good sitting here today. But we do get that. We also have issues. When you think about Engineered Polymers really had a ridiculously strong start, they delivered incredible performance. We hope that's sustainable, but we want to see how the year plays out. We've got to decide how much of that was restocking versus other longer term, better, more fundamental type sales. So again, we're optimistic and feel good about it, but we want to be careful with that. And then you've also got the sort of strange dynamics in the auto market that you're going to see really throughout the year, right? Don't forget, Q1 and Q2 are obviously pretty easy comps, right, compared to what happened last year, but then you had a pretty remarkable snapback in Q3 and Q4 of last year, and we're just going to have to see how the chip shortage impacts that sort of comparable comparison year-over-year. But sitting here today, at the macro level, we feel pretty good. We feel good. We're off to a really good start. Off to a good start.
John McNulty: Okay. No. Fair enough. And then, I guess, with your cash flow and your balance sheet improvements are, if anything, probably ahead of where we would have expected, and you're really making some pretty solid progress. I guess can you speak to how you're thinking about capital allocation as we look through this year and into next year, give us maybe an update in terms of the M&A pipeline? And also how you're thinking about buybacks. You obviously took some shares down this past quarter. And I guess how should we think about the potential for more of that as we go through the year?
John Fortson: Yes. No, sure. I mean, look, as we've said, I mean our capital allocation hasn't really fundamentally changed. We do view ourselves as having a lot of growth opportunities in front of us. And I think you'll see us continue to do invest in those. I mean the investment strategy really will be a series of probably a number of smaller, more modest investments as opposed to something sort of larger just given the state of the M&A market and also the opportunities that are in front of us, right? So you'll see us invest, but it's not mutually exclusive, right? I mean this is a great quarter. And as an example, we invested, we also paid down or reduced debt and we bought back shares, right? So we're going to remain flexible. I think it is important for you to realize, though, that we are going to buy back shares when we think we have an opportunity to buy our shares at what we consider to be a value or a good price. But we think we can sort of do all 3 as the opportunities present themselves.
John McNulty: Got it. That makes sense. And maybe just one last question. When we think about the potential for an infrastructure bill, which admittedly, there's kind of a lot of fuzziness still around it. But I guess, how should we think about when the bill is announced and it's a little bit more definitive, how long it would take for your paving business to actually feel the real uptake at that point? Is it a 6 to 9 months thing? Is it multiyear?
John Fortson: It obviously would be a great tailwind, John. I mean the truth of the matter is funding projects for infrastructure. There's typically a seasonal lag, right? I mean the good news is that the projects that we're seeing for this year are pretty fully funded and ready to go. And so we have good line of sight into that. To the extent we get an infrastructure bill, that just bodes well looking forward into the future, 2021 and beyond. So we'd love to see one, but it's not going to necessarily change our outlook for 2021.
Operator: Our next question comes from the line of Jon Tanwanteng with CJS Securities.
Jon Tanwanteng: Great quarter and Mary, let's get working with you.
Mary Hall: I'm here.
Jon Tanwanteng: John, can you talk about what's built into your guidance at this point? I mean it looks like you raised the year by the same amount that you beat the expectations by in Q1. Is that more of a comment on the level of demand, maybe not getting better or were sustaining through the year? Or is it more of the input prices just eating up all the upside?
John Fortson: No. Look, I know you're going to ask that question, Jon. So look, obviously, it's a dollar-for-dollar uptick, right? But I think I would interpret it as optimism to where we think the rest of the year is going. We obviously entered the year, there are a lot of uncertainties, right? The good news is, is vaccines are underway, and it felt like things were recovering, but the auto industry has had some issues. And it was unclear to us exactly how the recovery in the Performance Chemicals business would sort of unfold. But sitting here today, it feels good. And I would say our -- I guess our risk position is probably skewered more to continued upside than downside. But you know us, I mean, we're not going to overpromise or be aspirational. We're going to tell you guys what we think and what we feel we can deliver. So we did raise. We think we're off to a good start. Let's see how the rest of the year goes. We're one quarter in.
Jon Tanwanteng: Okay. Fair enough. And then can you just talk about the soy feedstock business a little bit more? I know you've been trying to do that for a little bit now. Just how big can that business be? How much of the capacity is utilizing? And are the margins similar to your CTO-based business at this point?
John Fortson: Well, I'll talk a little bit, but Mike can chime in here, too. Look, the idea, the sort of -- part of the genesis of this is to make sure that we operate our existing network at maximum utilization, right? And we do have the opportunity, the way one of our facilities is configured to effectively sort of run soy in parallel to CTO, right? So that actually would provide us with some incremental capacity to use, which is a good thing. We're off to the races. I mean I -- my own view is that this might be a $20 million to $30 million market, some point, not this year, but eventually, but we're not done with just soy, right? I mean we're going to look at other things, other feedstocks as well. And we may surprise ourselves to the upside in terms of expanding the market that we're looking at. But right now, that's kind of what we're targeting. Mike, I don't know if you want to.
Mike Smith: Well, the only thing I'd add to that is, I think that there's a really interesting opportunity throughout our derivative product line. So we've got a lot of, obviously, TOFA-based derivatives that we have the opportunity to either displace or augment with TOFA and free that up for the market. And from early looks, there may be really interesting value-added derivatives that we can make that have better functionality or improved functionality compared to TOFA-based ones in our current market. And that spans oilfield, industrial and payment opportunities. So we're going to continue to evaluate the opportunities, both with SOFA and also for a broader range of derivatives.
John Fortson: It's a pretty exciting opportunity, Jon. I mean it gives us a lot of flexibility and a lot of growth avenues. So we'll see how it evolves. But it's encouraging. I mean, my hat is off to Mike's team, a lot of effort and energy has gone into this, and we'll just see how it unfolds here over the next 18 months.
Jon Tanwanteng: Okay. Great. Just one more, if I could. The GreenGas business today. How big is that? And kind of where do you see that in like 2 or 3 years?
John Fortson: It's pretty nascent today. I mean it's got a handful of customers. In our mind, and I don't want to get sort of out -- don't consider this sort of official forecasting. This is just sort of -- this stand-alone opportunity probably has a revenue opportunity of $50 million to $60 million in 4 or 5 years, right? This stand-alone GreenGas as it's configured today.
Operator: Our next question comes from Daniel Rizzo with Jefferies.
Daniel Rizzo: So I was just looking at Performance Materials margins that took kind of a big step forward. I assume with the increase in Tier 3 standards. I was wondering if we're getting kind of close to peak here, where any growth from here would be marginal or if there is another step change possible.
John Fortson: Well, look, I'm going to -- Ed is here with me, and we've gone back and forth about whether we should have fallen on our sword based on the comments we made last year. At the end of the day, Dan, we're going to drive margins as high as we can every single quarter, every single month, every single week, right? We are operating at max absorption. And we are seeing some impacts to demand. We talked about that. So could there be -- could there have been more upside had there been more demand to the market? Probably. But we're happy with where we are. We're going to fight every quarter to keep the highest margins we can, and we had a good quarter.
Daniel Rizzo: Okay. I think that's very helpful. And then just one more question. So obviously, the focus is on national infrastructure bill. I was wondering if local infrastructure is kind of in a boom phase now or should be going forward, just given some of the fund -- federal funding that's now going towards the states, if that could potentially be a tailwind as well?
Mike Smith: I think when it comes to federal funding towards the states, the fact that had been reinstated and that support is there is very promising. We were a bit concerned, as you may recall, last year, with state gas tax being significantly reduced, and if that could have an impact. And fortunately, that seems to be behind us. We're happy with the backlog of projects as we enter this year. As John mentioned, if the significant infrastructure bill gets passed, that's only going to provide further tailwinds and more growth opportunities in the years ahead.
Operator: Our next question comes from the line of Ian Zaffino with Oppenheimer.
Ian Zaffino: Great. I wanted to kind of touch up on maybe a little bit of a forgotten business now that it's been slammed inside of Industrial Specialties, but energy prices are way up. Some of other people operating in that space have positive comments about oilfield. How are we thinking about the cadence of that going forward? And maybe like what are you seeing maybe into the second quarter and into the back half of the year?
Mike Smith: Yes, sure, Ian. The sequential performance has certainly been better than we had anticipated at the end of last year. The first quarter comp naturally is a very tough one because, as you know, the first quarter last year was really not impacted by demand. But as we look towards second quarter, third quarter compared to last year, it's up and on a sequential basis, it's also improving. So the improved pricing is very positive and should support investment, and it's really a matter of really seeing ongoing increases in demand and continued strong pricing. So we get further investment in drilling. But we're optimistic that on an ongoing basis, it will improve.
John Fortson: Well, listen, just to be clear, that's not a forgotten business, Ian. I mean, look, we -- it remains a good, credible, strong source of demand for TOFA for us, just understand that from our perspective, that's how we view it, right? It is another alternate end market that we have to weigh against other end markets. And as we think about the business, we think about that segment as having an Engineered Polymers business, on Asphalt business and a Pine Chemical or Industrial Specialties business, right? So don't misconstrue what we're doing is any signal that it's less important.
Mike Smith: No, clear. It's a very important application within Industrial Specialties.
Operator: Our next question comes from the line of Chris Kapsch with Loop Capital Markets.
Chris Kapsch: First question is around the margin profile in the Performance Chemicals segment. You mentioned some pricing getting traction in both rosin and TOFA, but the year-over-year margin was down despite, I think, what would -- should have been a positive contribution for mix associated with the strength in Engineered Polymers, and I may not have that right. I'm just wondering if you can talk about what we're seeing here, is this just a lag pricing pass-through or pricing realization on higher CTO cost? Any color there and how that dynamic plays out as we look forward in that subsequent quarters?
Mike Smith: Yes. I think you made an important point there on the pricing dynamics as we move forward. If you think about our pricing in the first quarter, as you can imagine, a lot of that is actually set at the end of last year, tough competitive environment, and that situation fortunately has changed. So our price realization in the first quarter was not really all that significant, especially on rosin. We had some modest improvement on TOFA. But what we see going forward, second quarter, and especially as we get into the second half of the year, as our contract commitments unwind, much more significant price increase capability. And realization. But during the first quarter, we did realize and got hit with increasing raw material costs, whether it be cyclohexanone with an Engineered Polymers or some CTO inflation. And so we're working hard to offset that. And as we said, especially as we get in the second half of the year, we're going to have significant more price realization in Performance Chemicals.
Chris Kapsch: Okay. And just on the guidance, I'm just wondering if you can comment on what was contemplated in terms of North American auto builds, given how important that is, particularly in light of Ford's comments last night on their curtailments of production in the second quarter. How much visibility do you have into knowing that was coming and either with them or other OEs because I imagine it's going to be a similar announcements?
Ed Woodcock: Yes, Chris, this is Ed. Just to comment a little bit. Ford, obviously, taking a hit in Q2. If you look at what GM did, their impact was probably more focused in Q1. So you kind of think of these chip issues is kind of rolling through the year in various waves and cycles. But ultimately, Ford is a large customer of ours, a very important customer. That being said, we are a global business, and we're seeing growth outside of the U.S. that will help support the quarter and relatively we'll continue to monitor the issue. But at this point, we feel we're in pretty good shape.
John Fortson: We obviously had the benefit of their comments, Chris, before this call. So to answer your question, we're not surprised.
Chris Kapsch: Right. So the full year guide, I mean, ultimately, if there's shortages that affect production today, it's going to be -- it's just latent demand for tomorrow. So does that -- is that what's kind of reflected in the full year guide?
John Fortson: Yes. I think we're -- yes, to answer your question specific to the auto market, but just more broadly, again, we're sort of 1 quarter in, incredibly great quarter, really, really pleased with the Engineered Polymers business and what they were able to accomplish. They really have started delivering. But we got to see how this will be -- if it's sustained, right? We feel good. But we'll just -- we'll see. As I said earlier, I think if you were to ask me to which way am I weighted, we're probably more optimistic than we are pessimistic. But you know us, we're conservative in this regard.
Operator: [Operator Instructions] Our next question comes from the line of Paretosh Misra with Berenberg.
Paretosh Misra: Can you talk a bit about your work on developing feedstock for renewable diesel? Any progress that was made during the quarter?
John Fortson: Well, there's not a ton to report, Paretosh. Only that we obviously are working to certify our feedstocks as something that would go into that marketplace, right? So when and if that becomes economically viable for us relative to other opportunities that we have, we would begin to take advantage of that market. We're ready. It's just that market is going to have to evolve.
Paretosh Misra: Got it. And then just as a follow-up on earlier question on your commercial production for that soy-based fatty acid feedstock-based products. And I'm sorry, if I missed those comments, but how does that change the cost and pricing equation when you're using that feedstock versus the alternatives?
John Fortson: Well, it hasn't yet because it's still in its nascent stages. So just to be clear, right? But as Mike alluded to, I mean, we do have an opportunity potentially in certain of our products to offer a SOFA substitute, right? And our expectation would be that we would maintain our pricing and even potentially in some markets do better, it's interesting. And Mike, you can chime in here. But SOFA, in some end market applications, actually might be more efficacious or stronger or better product than actually TOFA, right? So we want to make sure that we get that value for that, right, in those end markets. I don't know, Mike, if you want to.
Mike Smith: No, the only other thing I'd add that John had mentioned earlier is that we've been doing a lot of work from our technology team and our operation teams, and we have essentially free capacity by utilization of some of our distillation capabilities. So on the margin, that's a great cost position to be in. And we're going to make sure we understand these markets and the opportunities and the value these products can deliver and make this as good a business as it can be.
Operator: Our next question is coming from the line of Garo Norian with Palisade Capital Management.
Garo Norian: I wanted to see if you could talk a little bit more about the Engineered Polymers business. I mean I think it's certainly, by far, the best quarter since you've owned the business and wanted to see what your kind of understanding as far as -- are you guys making kind of progress in developing some of the products that you've been focused on? Or is it really more of, hey, we've had the end markets were down and have snapped back? Just any color on what's going on there?
Mike Smith: I'd say I think the team is making great progress on getting more technology adoption for the products that they've been working on for the last couple of years. There were some challenging end-use demand dynamics from the middle of 2019 until the end of last year. So we naturally do have some improvement in end-use demand dynamics, but also the technology adoption for the specialty applications, high functionality, caprolactone products has been great. We mentioned a couple of applications, such as electronic vehicle batteries. So that's really been positive. We've got the specialty film coatings for automobiles that really seems to be taking off medical devices picking up. So very broad-based technology adoption and overall demand increases really resulted in this business getting turned around, and we're confident that a large percentage of that is highly sustainable through the year. There may have been some pipeline fill in the first quarter. But what we see when we look at our order books and the new customers coming in, we're very encouraged by the technology adoption and demand growth for the business.
Garo Norian: That's great. And I think you had mentioned particular strength in Asia. And I'm just curious, for that business, can you remind me what the rough kind of geographic exposures are? And if I recall, historically, you were talking about maybe even bringing some production into North America and didn't know where that stands?
Mike Smith: Yes. So let me answer the last question first. We are bringing production of polyol derivatives into North America. We are going to be building a polyol production facility at our DeRidder, Louisiana. So that project is underway, and we would expect that to be online roughly end of the first quarter of next year. And so as you also nailed, this business, the Engineered Polymer business is fairly geographically balanced. So we've got, let's say, 40% Europe, 30% Asia, 30% Americas. And Asia, in this particular quarter, in a very strong quarter, where all regions were up over 10%. Asia was up the strongest on a percentage basis.
Operator: We have no additional questions at this time. So I'd like to pass the floor back over to Mr. Hamilton for any additional closing comments.
Bill Hamilton: Thank you, everyone, for your time and interest this morning. We remain very positive about our long-term business outlook, and we look forward to talking with you again next quarter.
Operator: Ladies and gentlemen, this does conclude today's teleconference and webcast. We thank you for your participation, and you may disconnect your lines at this time.